Operator: Hi everyone, and welcome to the DSV Trading Update for DSV's Annual Report for 2023. Today's call is being recorded. [Operator Instructions] I'd like to introduce departing CEO, Jens Bjorn Andersen; new CEO, Jens Lund; and CFO, Michael Ebbe. Speakers, please begin.
Jens Bjorn Andersen: Thank you very much, Jens Andersen here. Thanks for taking the time to listen in to the full-year 2023 result conference call here from Hedehusene, Denmark. We will start with -- to go straight into the presentation with the agenda on Page number 2. And please also take a moment to go through the forward-looking statements that were put at the bottom right-hand corner. So after the agenda, we'll go straight into the highlights on Page number 3. We are pleased about being able to deliver what we see as a good financial set of results this morning within the guided range. And if we take just a moment to pause and go back 12 months, please remember that the guidance is between DKK 16 billion and DKK 18 billion. So looking at that, we're actually really happy about the results. Also, we feel that the cash flow of DKK 15 billion -- or exceeding DKK 15 billion going back to shareholders in the past year is satisfactory and in line with the capital allocation principles that we've always adhered to. 2023 will go down in history as another eventful year, a volatile year, a lot of things happening where we had key focus on organic growth, but where we also announced the big joint venture that we are very happy about with the NEOM organization. This morning, we have also issued a new guidance, which is between DKK 15 billion and DKK 17 billion. This morning, we have also announced that today will be my last day as CEO of the company. I was already de-listed this morning. So Jens Lund is a new CEO in line with what we announced also in October. And if I may just put a few comments to that. This should have been seen from the beginning as when we said 1 of October this year, no later than 1 of October. Jens has been in the company over 20 years. I've worked with Jens for more than 15 years, and it was never kind of the idea that we should have a 12-month period before Jens could take over. It's a natural time today where we announced the 2023 results and where Jens and his new team, which was also part of the agenda, will take over. And I'm 100% sure we'll steer the company in a good manner through 2024 and the coming years as well. I'll conclude the presentation a little bit later on. But with that said, I think we should go to Page number 4. And Jens Lund, over to you.
Jens Lund: Thank you very much, Jens Bjorn. And we will dive straight into the numbers on Air & Sea. I think if we look at the Air & Sea numbers, it's of course the business area that had the most progress in 2022 and were most impacted by the very volatile situation we saw there. And of course now it moves back to the new normal and we are actually quite pleased with the developments we see in the absolute GP that we produce. Of course, it leads to a decline in GP adjusted for FX on approximately 20% on air freight and approximately 4% on sea freight. I think there's one trend that is very important to notice when we look at the Air & Sea division and it's the fact that, we produce actually more shipments. So we have shipment growth and this means that the mix of what we produce, the shipments, they get more frequent but they also get a little bit smaller. I think it's also partially due to the focus that we have on our network products, so the LCL product, and of course, also the gateways on our air freight product as well. So I think that was sort of the major takeaways on Slide number 4, and we will quickly move into Slide number 5 where we dive a little bit into the absolute GP. And here you can see that, it's plateaued coming in from a very high level last year, and now it's plateaued. If you look at our yields, I think this morning there's been a little bit of comment on the fact that we're just around DKK 9,000 but -- and some people might have expected a little bit higher than this. Actually, we were a little bit impacted and not pleased by the sort of increasing rates out of Asia due to the significant uptake on e-commerce. We think this situation has now stabilized and the market has sort of adjusted to the demand that we have there. If we look at the volume growth, we are still not meeting the market. When it comes to that, we probably adjusted for perishables 4%-5% behind market. But we are slowly seeing that, we catch-up on this. So if we move to the next Slide, we have sea freight. Here we are, if we adjust for seasonality, we actually also have the opinion that on absolute GP, we have plateaued. I think also, when it comes to growth, we are in line with the market, and of course as you can see the market has slowly recovered and coming into growth figures as well. And I think the yield is as expected. So we will quickly go to road. We actually think that road has a very strong quarter, doing better than last year. There's significant headwind in the road market right now. We think that the progress we are making is due to the focus on the strategic work that we have been doing, that our network strategy on road actually works. And the division has in general done a really good job on executing on the plans that we have. If we move to solutions, also a really good quarter. I think we have to be fair and say that, perhaps some of you were a little bit disappointed last year as well. So -- but still, I think they have executed well on the strategy and we have talked about some of the services that we focus on here as well. So for example, e-commerce doing a really good force. And of course by our utilization, we have a little bit more square meters available because we have invested in new capacity, but utilization is still high although it's a little bit lower than last year. So that was a quick rundown of the divisions. And now I will hand over to Michael who will take us through the numbers.
Michael Ebbe: Thank you, Jens. Yes, and if we go to the P&L slide, I really -- now we've started a new year. So I hope that I will not see this bullet number one as many times that we have had this year. Clearly, there's still an impact of the lower rates and volume. If we look at the gross margin, it's actually looking quite nice. It came out with 11.8% for the full year, which is quite above last year as well. And it's the best margin that we have had for a full year ever. So I think that's also something that we can be satisfied with. There's a couple of things. We have had a question about the financial items and net interest, it's actually impacted by situations we have had in Argentina, where it's very, very difficult for us to get money out. That means that we have placed some money which we have received some interest on. And then the currency was devaluated late last year. So that has, you can say, the opposite effect for the financials versus FX versus the interest rates. So that's the impact there, roughly DKK 100 million that yet you need to adjust for that. Then, if we look at the cost base, it's significantly lower than same quarter last year. So that's also pleased to see that. It's even on, you can say, despite the inflation that we have this lower cost base. So that's also satisfactory to see that one. If we look at the number of FTEs, also in line with what I just said about the cost base, you can see that, that has been reduced roughly 4% compared to the same time last year. Clearly, our diluted earnings per share is impacted by the decrease in earnings and then a little bit positive impact by the number of shares that we have produced as a consequence of the share buybacks last year as well. If we skip to the next page on the cash flow. It's good to see, like we have had last year that our cash conversion continues to be close to 100%. Last year, it was a little bit better, but this year it's very close to 100%. So that's also in control of the cash conversion that way. It's what it's all about that the money that we earn needs to be converted into cash obviously. We have our net working capital in actual numbers. You can see that we have had a decline compared to last year. We continue to have focus on that. It's around 3% of the annual revenue, we have due to our roadmap on some property projects. We have some funds tied up in these property projects as part of the growth strategy within Road and Solutions. So that has an impact. Our gearing ratio is at 1.5x, relatively stable throughout the last couple of quarters. Of course, higher than the same period last year, where we have significant earnings as well so to account for that. If you look at our funding we have an average duration of our long-term corporate bonds of around 7.3 years. We have less than 1% as interest rate costs. So we are also equipped very well in terms of the financial side. If we then look at the ROIC, it also continues the way through normalizations in line with the normalizations of our earnings. If we skip to the next page then the allocation to shareholders. I anticipate maybe a few questions about the size of the share buyback. But if you look at it on the predictions for the quarter at least until April, please bear in mind that we have to pay out a dividend as well, which we propose to be DKK 7 per share, an increase compared to last year. We also have the leftovers from the share buyback that was decided last year. That means that if you look at it until the end of April from what we have announced so far, we will allocate more than DKK 3 billion back to the shareholders. And then we propose like we have also done previously not to the same extent, obviously, given the situation that we have to reduce our number of shares. And that is proposed to be reduced to DKK 5 million for the upcoming AGM. Then you can see on the next page, some few comments about the outlook. What we guide now is it's a range between DKK 15 billion to DKK 17 billion for this year 2024. Our tax rate, we estimate that will come back to around 24%. Some of the assumptions for this guidance is that we expect that the Air & Sea markets will grow 3% to 4% in 2024, slightly in line with the expectations of the global GDP. We, of course, still have an aim to be profitable and target profitable growth above market rates, so that is something that is purely in focus. We've also estimated that the yields in Air & Sea, they seem to, like Jens also mentioned, they seem to be stabilized. So we expect that they will be stabilized slightly below Q4 levels in 2024. For the Road, it's a little less growth market and solutions a little bit more, so that's what we had tailored into our expectations for the next year. It's clear that we continue to monitor our cost base and adapt accordingly. Like I said before, we have reduced the cost. You can see a number of FTEs from '22 to '23 with roughly 4% without announcing any larger reorganizations. So that's something that we do as a normal part of our business. And the last bullet here is also important to notice that the planned NEOM joint venture is not operational yet, so it's not included in our guidance so far. And we will, of course, give you some information when we are closer to have that up and running and finalized. I think that's the outlook. Then I'll go back to Jens, you have a slide here.
Jens Bjorn Andersen: Yes, correct. So there's a slide with a new executive committee, so Michael Ebbe will continue as the CFO of the company, and Brian Ejsing will take over my previous role as the COO of the company. Brian has been with the company for many years. He comes from the Solutions division, but has also been in Road before that. So Brian will take that role. Then if we continue with the Solutions, I know it's not perhaps in the right order, but Albert-Derk will then step into Brian's role and he's an internal candidate that has been with us for years, and he's a very experienced guy that will be able to take over Solutions. Albert-Derk is today the COO in Solutions, so he's already very acquainted with managing the division. On Air & Sea, Frank Sobotka will take over from Carsten Trolle. The shift will happen on the 1 of May and then Frank will gradually step into Carsten's role until then. We've then agreed with Carsten that he will stay with us and to do certain tasks for us, so that we can take advantage of the vast experience that Carsten has with driving big changes in the company. So Carsten will not leave us for at least a year. Then the next new individual on the chart is Morten Landry. Morten will take over as CCO. We've had Rene Falch Olesen running this division or business area, and also very successful. Now we've revised the commercial approach, and we need to basically go on the next part of our journey with our commercial approach. I'm sure we'll get a few questions to that afterwards. And here Morten is, at least in the management team, a fairly young guy that will propel this forward. Then Jesper Riis, our CIO, has been here. I can't even recall if it's 7 or 8 years. I apologize for that, Jesper. But he's been here for quite a long time, and of course, Jesper will continue in that role. So, I think it's experienced staff, we've put into the roles. And I think that the change has been prepared well. I've had a very seamless cooperation with Jens Bjorn in this transitional phase. I think that's also the reason why we've managed to do it so well. We've worked together for years. And I must say that it's been a seamless collaboration here. So, as Jens Bjorn also alluded to when he started the presentation, we are now ready to go. And then the time is also right. I'd also say on behalf of the company that in relation to my own role and Jens Bjorn's role, that I want to make it absolutely clear for people on the call that DSV would not have been what DSV is today if we'd not had Jens Bjorn on the helm. So thank you very much for that, Jens Bjorn. You've definitely made a mark on the company that will be visible ever after. So now I'll hand the word back to you, Jens Bjorn, so that you… ¦
Jens Bjorn Andersen: Yes, but I think that concludes the presentation so far, and we will head into Q&A. I'm sure you can see the dial-in information on Page number 14. So with that said, we'll go into Q&A.
Operator: [Operator Instructions] The first question will be from the line of Alex Irving from Bernstein.
Alexander Irving: I have two, please. First one is on the Red Sea. I'd like to know how you've seen demands from customers change since the start of the year for different solutions, particularly around air, sea, and sea, air. Specifically, what range of impact on volumes and gross profit might you be thinking about, depending on how long the current situation lasts? My second question is on changes in management structure. The divisions are each getting a separate COO for the first time. What are you hoping to achieve through this that you weren't able to achieve before, please?
Jens Lund: Okay, I'll talk a little bit about the two questions that you have. So, basically, what we see on the Red Sea is, of course, that as you know, the lead time, it increases with approximately 14 days. And that goes in both directions. So the loops, they, what can I say, get somewhat slower. Then some customers, they might be able to fix this issue just by buffering up, so that they will push more through, and then have more in storage, because they don't get as frequent shipments. Other customers might have the demand to basically have a shorter lead time. And here, of course, there is service where you could actually ship the cargo to Dammam and then cross Saudi Arabia and then put it on a vessel again. So that type of service, we also see demand for. And then lastly, of course, there is always the opportunity, if you're really in a hurry, to move to airfreight. Given that the customers, they are -- I would hate to say it, but they are actually more or less used to disruptions these days. Then actually we have a very constructive dialogue with the customers, how can we arrange the transport flows so that we keep the supply chains flowing? And I think that's the important part. I would say so far that we've seen limited impact on airfreight. We've seen some interest in relation to the volumes going across Saudi Arabia. And then we see that most of the volume, they go via the Cape. And that's also, from a financial point of view, the most efficient way. We are pretty early in the crisis still. So it will evolve over time. So the jury is still out on the impacts on it. But we'll be able to tell you more as time lapses, obviously. For us, of course, we can now add some value to the customers. And I think that might also have a slight positive impact on our yields. If we create some value, of course, we hand the most of it to our customers. But we keep a little bit ourselves. Then in relation to the management structure, I think the whole purpose of having a COO and a CCO in all divisions is that from an operational point of view, we run approximately sort of three or four tracks in every division where you basically strengthen certain capabilities. It could be e-commerce, that you strengthen that cross-border. It could be, for example, the groupage network on Road in Europe. It could be the LCL network on Air & Sea. It could be control tower setups as well. And you need some management capacity to handle this. The customers, they look for consistency. So we need to invest a little bit of resource in taking care that dealing with DSV is the same, whether you are in Country A or you are in Country B. Of course, on the commercial approach, the CCOs, they will also have to ensure that it's consistent, what we do in the divisions, and then we have a commercial responsible on top, Morten Landry, the CCO. And he will basically coordinate with them and then we will have the verticals that work across the divisions, and of course, they are then steered centrally. So this is the structure we're having. We have been on a journey there. We've had some CCOs in place and we've had some COOs in place, but now we've implemented it in full. And then we hope we can drive the, basically, efficiency up and that we can come with a more consistent product and a better service offering to our customers.
Operator: The next question will be from the line of Cristian Nedelcu from UBS.
Cristian Nedelcu: The first question is also on the Red Sea. Could you help us understand how you encompass the potential Red Sea EBIT tailwinds in 2024 in your guidance? But do you include any potential benefits there in your guidance? Secondly, could you comment a little bit on the market share losses in Ocean & Air? Are these geared more towards certain trade lanes or certain types of customers or are they across the board? Any more color that you could offer us there? And the last one, please. Is there any color at this stage that you could offer on the exit rate in Q4 or the entry rate in Q1 on volumes and GP per unit in Air & Sea?
Jens Lund: I can answer, okay. If we take the Red Sea and guidance, I think it's too early for us to say that we have taken the Red Sea situation seriously into consideration in relation to our guidance. You have to remember that none of the cargo has really arrived at destination since it's been shipped. So, of course, at origin we can see what happens on the volumes. We're actually a little bit up on the volumes when it comes to that. But we don't have any intelligence on it right now. If you look at the air and ocean, and you said market share losses, the way I see it on ocean is that we are on market when it comes to this. We're not growing faster than the market, but we're growing in line with the market. And I think we have our traditional exposure when it comes to that where we are somewhat larger, of course, on the European market, and then the trades that relates to this. I think this is what we can say on ocean. On airfreight, I already alluded to the fact that we are not exposed to perishables. I think if you follow airfreight, you can see that it grows, the perishable market. I think that's the biggest sort of swing factor. There could be another factor as well on the airfreight where we don't have a significant exposure and that is also the e-commerce exports out of the Asia-Pacific. We don't have very good intelligence on the market when it comes to this. I think the statistics, they're slowly coming out and we will then have a better picture. So I think that was a little bit about this. And then basically what happens within the quarter, I don't think we will dive into this. It becomes, what can I say, very hard to get some steer out of a December month. So I think that answers your question. I actually have just one information more. I think we should stick to two questions per analyst house, because otherwise we might run out of time.
Operator: The next question will be from the line of Sathish Sivakumar from Citi.
Sathish Sivakumar: I got two questions here. So, first on the conversion ratio target as we move into 2026. Obviously, if I look at that, the exit rate for '23, Air & Sea is broadly close to your 2026 target. Assuming things are normalizing, you get some volume uplift. But the bridge here is to get to 45% above is going to be Road and Solutions. Can you explain what are the drivers of the Road and Solutions that is going to get you that about 30% conversion ratio given that in growth, TMS has been slightly lagging in terms of rollout. So how do you get to see the improvement in conversion ratio come through? Is it a volume or do you see further scope for efficiency there? And then the second question is actually a straightforward one. In terms of the headcount, right, it's a 4% drop. What was your attrition rate in 2023? And how does it actually compare across different segments like Air & Sea and Road & Solution?
Jens Lund: I think Michael just looked the attrition rate up. But I can already tell you on that that it's very different if you work in a warehouse, or if you work in an office. So if we don't have the exact figures, you will get them afterwards from our IR department. But Michael will just check now. If we look at the strategy and on Road & Solutions, we have, of course, a roadmap to get there. As you also said, we had some 2026 targets. I think everybody knows that we are producing well on the groupage network when it comes from an operational point of view so the physical handling. But on the IT side, we are struggling with the system. So, of course, we have now revised the plan and, we'll try to solve the problem from another angle. And it might be that it will take us a little bit longer before we get there. But once we get this automation in place, we will definitely deliver on the conversion ratio. I think if you look at it on Solutions and see the strategic initiatives that we're taking, you can see that we make progress as we go along. There is, though, one thing on Solutions that we have to bear a little bit in mind. And we might have to update our strategic thinking a little bit on that, because we invest in more automation. And, of course, that may have an impact on the conversion ratio as well, and how we book the costs. But in general, I think that we are on a good trajectory also for Solutions. And I think you must remember that it's been, what can I say, to look at the Q4 in 2023 is probably not the right baseline when you evaluate where we are. So, and Michael has now these. ¦
Michael Ebbe: Yes, for the headcount overall, our churn ratio is around 20%, which is the lowest we've had for five years. It consists of roughly 17% for the white-color and '24, as Jens mentioned, for the blue-color, which is a little bit higher.
Sathish Sivakumar: Okay. That's quite helpful. Just on the conversion ratio, is it like more now -- more back-end loaded into '26, where you see a step-up coming in? Or we still think like it's a linear progression from '24 to '26 in terms of Road & Solution?
Jens Lund: There are some strategic initiatives in place, and it's like a roadmap and, of course, you get more and more traction on it so that you might see a little bit, in particular on road, slower impact. I think we are grinding on solutions our way through it. But, of course, there are other things that impact this as well and this is also how the market is faring. So, I would say probably both a little bit backend loaded, but road the most.
Operator: The next question will be from Ulrik Bak from SEB.
Ulrik Bak: Also two questions from my side. So, the first one is also on the Red Sea and the impact on yields. So, you stated during the presentation that 2024 yields could perhaps be slightly below the Q4 level? And just to be clear, so that is disregarding any potential impact from the Red Sea situation? And then the second question would be also in relation to the Red Sea that we've seen obviously sea rates go up. Air rates haven't really increased at all according to my data sources. So, will we actually -- will there be a potential for a larger potential for increased sea yields versus air yields from the Red Sea situation as you see it?
Michael Ebbe: It's Michael. It's -- you can say the yield impact, it's too early to say how that will impact. Of course, you would say that it will have a slightly positive impact, but it's very difficult like Jens mentioned before, because it also depends on the duration of the situation. So, that will impact. It's correct also that we have not seen any shift in modes towards the air and that should -- before we see that there will be no impact on the yields.
Operator: The next question will be from the line of Michael Rasmussen from Danske Bank. The next question will be from the line of Marc Zeck from Stifel.
Marc Zeck: I've got two. First one is maybe for Michael on the balance sheet. I know that there was roughly DKK 1.2 billion decreased in the other payables line, including liabilities. I would be curious what is in other payables actually and what caused the decline there? That's the first question.
Michael Ebbe: Should I answer? Would you had -- okay, yes, it's correct. Under the item other payables it's mainly seasonal payables, it's mainly, you can say, related to salary, taxes, VAT and so forth. It's correct that there is a decrease. It's also -- we had a few items that we have paid out. Another thing is actually that you have to bear in mind that there are also seasonalities. It's not that large if you look at it, you could say, same period compared to last year.
Marc Zeck: Okay. Understood. Second question would be on the 2026 outlook. I know that as you get the same slide for a couple of quarters now. And now you added that the negative volume trends in the last few years made the targets more challenging I guess it's the first -- in the Q3, you had this qualify. Is there anything that changed this quarter that made you put it up there? Or was it more like you kind of might have added it fully, but having done now, it's just with Q4 results, just the time to update that slide?
Jens Lund: No, I think basically, we are executing as to these targets. I think we're fairly close on our notion. I think we have the right strategic initiatives to drive them there, so I wouldn't worry too much about that. Of course, the margins have, or the volumes have an impact on it, that's clear. And I think that we put that qualifier in, because of course, we are monitoring this closely. And of course, we've already qualified Solutions and Road, we've had some debate about that already on the call. And of course, they also depend on that, we continue to get the volumes in. In particular, the network business, it really depends on the volume. So this is very important.
Marc Zeck: I was more a like asking why the qualifier wasn't in there in Q3, and now is there any particular changes that you see?
Jens Lund: No, I don't think there is any sort of big, what can I say, thinking behind that. I guess, though, that the development of our network business shows that it's crucial that we continue the journey that we are on, and that then might be the reason why we've put it in. But it's not -- I don't think there's much more to it.
Michael Ebbe: It's not a substantial change, it's just also to reflect that there is, if you look at, like we talked about before, if you look at the market growth and you take perishable flow into that, I think that's also something that you have to bear in mind when you measure, compare the market. And then, which we do not make that much perishables, and like Jens mentioned several times now, that it is focus on the network business, which should make us look better on that one.
Jens Bjorn Andersen: Maybe I should not comment too much on this, because I will not be in the company in 2026, but you shouldn't put too much emphasis on these wordings. What is more important, maybe, for you to remember is that our long-term financial targets, they stand and there are no changes to them. We're still adamant that we will reach them. And I guess that's what we can say this morning also.
Operator: The next question will be from the line of Sam Bland from JPMorgan.
Samuel Bland: I have two, please. The first one is on the 3% to 4% volume outlook in '24. I guess sort of just been through quite a deep destocking cycle. I wonder whether you thought there was much chance that volumes would turned out a bit better than that, at least if destocking ends, let alone if we have some restocking. And the second question is on the sort of reduction in average shipment size. Was that sort of a deliberate DSP decision? Or was it sort of a side effect of destocking i.e., what I'm trying to get at is if we get more of a restock, does that automatically reverse or not?
Jens Bjorn Andersen: We'll go on the assumptions on world GDP and volume developments, inventories.
Michael Ebbe: Yes. I think what is the foundation for the outlook is, again, the Air & Sea market to grow like 3% to 4%. It's much in line with the expected global GDP growth. And if you -- the numbers that we have seen on destocking is that it's trending in the right direction, and you could say that we have said that before, but the latest data points that we have is that the destocking will kind of go through the end in late Q1, Q2 this year. That's the latest numbers that we have seen from external data points.
Jens Bjorn Andersen: Meaning that if with a bit of luck, we could see a situation where volumes grow slightly more than world GDP, but it's pure speculation, and we don't assume that in the guidance.
Jens Lund: And then of course, the average shipment size, if you run a network business, as you know, it's important that you utilize your gateways and your line hauls and that you have either it's LCL or groupage, or some people call it LTL as well, less than truckloads. So, of course, that we consolidate that cargo, that is then your value proposition on this. So, we should also then add the shipment size. And I know that Jens Bjorn has always given the example that, we have to do the same documents or to do the same handling and earn our fees, whether it's 200 kilos of airfreight, or whether it's 400 kilos of airfreight. So then, of course, that is also part of the explanation why we have a higher yield, perhaps, than some of our peers, because the value add that we produce on some of these shipments might be a little bit higher because we have more shipments per ton or per TEU. But we don't know the numbers of our peers, we know our own numbers, so it's pure speculation as well. But it could be an explanation.
Samuel Bland: Okay. Understood.
Operator: The next question will be from the line of Lars Heindorff from Nordea.
Lars Heindorff: The first one is regarding NEOM. I know you exclude that from your guidance, but maybe you could just refresh our memory of what kind of earnings contribution do you expect this year, whether it be from the JV or network impact? And also to what extent that you're going to have CapEx into the end this year? That's the first one.
Jens Lund: Good. I think, Lars, basically the guidance we've given on NEOM is unchanged. And we still expect that the company will be up and running in Q2. You might have noticed that, we got the competition clearances. So, now we need to incorporate the companies and get the operational licenses. That is a process that perhaps takes a little bit longer than we are used to in certain European countries, but that will happen, so that we should be good to go in Q2. And I think that's also what we've then guided. Then we have guided that we will then basically start to establish the company with infrastructure. So that it will take some months before we have offices and we have the infrastructure needed for lay down areas and so on. But that will be ready at the end of 2024. And then we will have to make investments accordingly. So, the amount of capital that we are going to deploy there this year, we've not fully updated the business case because it's still sort of a little bit uncertain when we get going. But it will probably be around the DKK 200 million for the DSV part, perhaps a little bit more, perhaps a little bit less. And it can be DKK 250 million, but I actually think the DKK 200 million is a good number to go with. And then, of course, volume will slowly start to move in. Right now, we have limited volume so far, but I think we will be able to give a more precise update when we come into Q1.
Lars Heindorff: Okay. Then secondly, regarding the capital allocation, Michael, you mentioned that you probably get a question on this. So, here we go. I just made the explanation why the size of the buyback is what it is. I know you have dividend in the first quarter and then normally a little bit lower share buyback there. But still, even if you adjust for that into the second quarter, it appears to be a run rate which is actually a bit lower compared to what we have seen in the previous years? And I know that earnings are lower, but you also mentioned that cash conversion is still expected to be close to DKK 100 million. So, from the outside it looks a bit low.
Michael Ebbe: Yes. A couple of thoughts about that, Lars. It's -- you have to bear in mind also that our -- you could say, cash flow in Q1 is a little bit soft compared to the other quarters and that we also need to take in considerations. And then again, like you correctly stated, that we replace some quarters with higher earnings to some quarters with lower earnings, which will also drive our gearing ratio slightly up. And then, as you just heard Jens saying that, we also need to be able to furnish some cash to NEOM later this year. So, that's some of the things that goes into this. And then I think it's more than DKK 3 billion in Q1. I think it's still a significant size that we allocate back in Q1. Then, of course, if it turns out later this year that our earnings is better, then we will adjust the share buybacks as we normally do.
Jens Lund: For the sake of good order, it's unchanged our capital allocation policy. We've done it for, yes, I can't even remember how many years. It might be that then we do a little bit extra as we go along. There's nothing changed in the strategy at least when it comes to that. We will reallocate the cash that we don't need to the shareholders. We've always done so. We actually believe that it's part of the company's success that we don't have too much cash in the company because then we always have to be on our toes.
Lars Heindorff: And will you be willing to live up to the buyback to 2x?
Jens Lund: No. We've always lasted to run it right on the edge of these things. You know that, if we really run in at 2x, there's a big change here or there. Then, we also have other stakeholders than the shareholders. We have actually some people that also provide debt. And of course that might then be a concern for them, if we are at 2.0x. I think there was a lot of criticism last year for being at 1x.
Michael Ebbe: Yes. But I think that we've also said that, we will be slightly below 2x. We'll not go straight to the edge.
Operator: The next question will be from the land of Muneeba Kayani from Bank of America.
Muneeba Kayani: And Jens Bjorn all the best, and thanks for taking all my questions over the years. First question, just going back to your 2024 guidance and the low end of DKK 15 billion, can you help us understand what sort of a scenario on volume and yields needs to happen for that to come across? Like, would volumes have to be basically flat for that to happen? And then a second question. So, of course, there is a sale process going on in the industry right now. Anything you can share on that, I would appreciate that?
Michael Ebbe: Well, our guidance, of course, takes some different scenarios into consideration. And then, we have scenarios where we will be plus, minus 2%, you can say, growth compared to market. And that's what we have tailored into the lower end as well.
Muneeba Kayani: And on yields?
Michael Ebbe: Yields, like we talked about before, it's on level with Q4, slightly, slightly lower than Q4. That's what we have tailored into the guidance. But you have to bear in mind that it's not the guidance. It's, of course, a little bit uncertain. So there are different moving parts into it. But this is the stones that we have put into it.
Jens Lund: And then I think on the sales process, what can I say? We don't comment on specific processes. But we can say that, our strategy is unchanged in the company when it comes to M&A. And I think that's the closest we can get.
Operator: The next question will be from the line of Alexia Dogani from Barclays.
Alexia Dogani: And also, congratulations, Jens Bjorn, for the impressive tenure as CEO of DSV. So it was great to overlap. Now, I have 2 questions as well. Firstly, obviously, you made the comment about M&A. But clearly, you are signaling a bit of a strategy shift towards regaining volume growth above market. But obviously, in the past couple of years, there have been M&A integrations that have slightly challenged you on that front. If we are potentially going to see M&A happen again in the near future, how can you marry the strategic target of growing above market and integrating large-scale or maybe small-scale M&A? That's my first question. And then secondly, I understand it's very early to discuss about the Red Sea. But on your comment around duration, if indeed it is a short-lived event, is it actually -- could it be potentially a drag for you because you are short capacity and you are slightly exposed to this short-term inflection in rates?
Jens Lund: Yes. I think if we look at the strategy, I think it's important that we always bear in mind when we do M&A that we will lose some volume. We normally put that forward as well when we present it to the market. I don't think you can have a strategy that can prevent that because you might be -- there's a customer, they have two suppliers, company A and B, they are then supplier and now they merge. But this customer has a strategy, I want, what can I say, business continuity planning where I have two suppliers. Then you might see that another competitor comes in. I think this scenario can never be avoided. When you sit and look at it. But of course, that you have good structure of your verticals, the way you do run your accounts, your account management, et cetera, and that this is something that has a lot of focus. I think that will surely help to reduce the volume that might go. So, I don't see these 2 things as if they are conflicting. I actually see that they are the capability to deliver on the growth and being well-structured. It actually helps also to get a good integration. And then the Red Sea drag, whether we've been able to pass on, what can I say, the increased cost. I think it's something that we can confirm we have. So we don't see it as a drag.
Alexia Dogani: That's great. Do you mind if I just ask something quickly on the JV of NEOM because I might have missed it. Is it reasonable to accept some positive below the line earnings contribution in 2024?
Jens Lund: It's probably not going to be significant, because it will be into Q2 before it sort of really gets established and up and running. And then it will ramp up slowly. I think, the significant impact will probably really start to see perhaps in Q4, into '25.
Operator: The next question will be from the line of Dan Togo from Carnegie.
Dan Togo: A question on Jens, you in the very early part of this presentation alluded a bit to a new normal in forwarding. Can you put some words on that and what you think about this new normal? Is that basically reflecting an environment with higher yields? And in order to understand that, am I wrong in thinking that we could potentially see some yield pressure when we see an increase in average shipment size when that rolls through? And what should we think about timing of that, if ever? And then also, if you are in a mood to regain some of the lost market share we've seen since the past transactions you have made, will you leverage, so to say, on your yield advantage compared to some of your peers here, i.e., we could see some yield pressure from that as well? Some words on that could be nice.
Jens Lund: I think a new normal, what I alluded to was that the customers, they are used to these disruptions in the market right now. I guess that's sort of the thing that at least, was the idea behind my remark. If we then look at the change in mix, hopefully we continue to develop our network products, so that we actually sell into that market of more and more frequent shipments. It's probably a mega trend where the shipments, they get a little bit smaller every year and have done that for years. So, of course, if you have LTL capabilities or other sort of similar services, then you can tap into this. Then I think you're right as well that you will see, hopefully, that instead of booking a 20-footer, they book a 40-footer container, some of our customers. And, of course, that will probably occur again. And that might also change it. But the big trend for us is that we should have a consistent growth of the network products. Then I think when it goes to the customers and regain volume, it's not like we say volume over profit. We've never done that. But we can perhaps in certain areas, get a little bit of extra volume. And as you say, we can't rule out that it will have an impact on the yield. But it's not like we go out and change the strategy totally. We can't do that. But we need to focus a little bit more on growth. You can do that in many ways. You can do it with your tender management so that you participate in the right tenders. You can also do it better with spot quoting. There are a number of tools available for this. So I think we try to take advantage of the ones where we protect our yield. So I think that was basically it.
Dan Togo: Very helpful. And then if time allow, a question on solutions. You also mentioned that, your utilization here in '23 was below the '22 mark. I don't know what we should expect for run rate here. But just assuming that we get back to the '22, what would the financial impact be in solutions? And what kind of growth would be required to reach that level?
Jens Lund: If we look at solutions, I run the risk of not remembering the numbers 100%. But I think we were running at up to 92% utilization in multi-client setup last year, which is the highest at least I've seen in the time I've been in the company. I think right now we're running at 86%. But we've also just got some new capacity. And it probably takes 6 months to 12 months to fill it up. And that's sort of something that reoccurs all the time. So I would think anything in a normal flow which is above 88% utilization is really good. So there could probably be a little bit extra GP. Then, I think when you run the warehouse, you probably make one-third of the income on storage and two-third on handling, if I should give you some kind of a rule of thumb. So it's not -- you can't make tremendous marks ups on storage. You actually make it on handling. It might be that even the percentages are more skewed. But it's just a ballpark figure I give to you. So that, it will impact us a little bit. But the impact is not going to be dramatic. What really means something in solutions is receive, put away, pick, pack, ship value-added services that you produce in relation to the volume that you produce. That is what means something. I hope it makes sense.
Operator: Unfortunately, as we are running out of time, I have to hand it back to the speakers for any closing remarks.
Jens Bjorn Andersen: Good. But it was also 10 good questions that we had. So we appreciate that very much. I hope it also covers any potential questions that some of you that might not have gone through might have had. If not, you are, as always, welcome to reach out to us bilaterally. I know Flemming is eager to speak to all of you. But this concludes not only this presentation, but it also concludes my time as the CEO of DSV. It has been a true privilege having been at the top of this fantastic company for the last over 15 years. It is also a great privilege to be able to pass on the leadership to Jens Lund, and the rest of the team. We continue a very strong strategy and tradition of always recruiting senior management from within the company, ensuring that it is going to be business as usual and no strategy changes. I do expect Jens to set his own mark, which is also fantastic and the whole idea. But it has been great. The company has done well in the past, and I am sure the company will do well also going forward. I actually feel that the company now is stronger than ever before and is ready to meet whatever challenges lie ahead. So before it gets too sentimental, I just want to close off by thanking everybody. Also thanking all the fantastic employees of DSV who are listening in. I know you take great care also in these calls and the performance of the company. Thank you for what you have done. Also thank you to the clients listening in, and also to analysts and investors. I think we've had a great time together. So, thank you very much. I will see you around. Thank you.